Operator: At this time, I would like to welcome everyone to the International Flavors & Fragrances First Quarter 2015 Earnings Conference Call. All participants will be in a listen-only mode until the formal question-and-answer portion of the call. Participants will be announced by their name and company. In order to give all participants an opportunity to ask their questions, we request a limit of one question per person. I would now like to introduce Michael DeVeau, Vice President, Global Corporation Communication and Investor Relations. You may begin.
Michael DeVeau - Vice President-Global Corporate Communications & Investor Relations: Thank you and good morning. Welcome to IFF's first quarter 2015 conference call. Earlier today, we distributed a press release announcing our financial results. A copy of the release can be found on our IR website. This call is being recorded and will be available for replay on our website. Please take a moment to review our forward-looking statements. During the call, we will be making forward-looking statements about the company's performance, particularly with regard to our outlook for the second quarter and full year of 2015. These statements are based on how we see things today and contain elements of uncertainty. For additional information concerning factors that can cause actual results to differ materially from forward-looking statements, please refer to our cautionary statement and risk factors contained in our 10-K filed on March 2, 2015 and our press release that we filed this morning. Today's presentation will include non-GAAP financial measures, which exclude those items that we believe affect comparability. A reconciliation of these non-GAAP financial measures to their respective GAAP measures is set forth in our press release that we issued earlier today. With me on the call today is our Chairman and CEO, Andreas Fibig; our Interim CFO, Rich O'Leary; our Group President of Flavors, Matthias Haeni; and our Group President of Fragrances, Nicolas Mirzayantz. We will start with prepared remarks from Andreas and Rich, and then the entire team will be available for questions that you may have. With that, I would like now to introduce our Chairman and CEO, Andreas Fibig.
Andreas Fibig - Chairman & Chief Executive Officer: Thank you, Michael. And good morning, good afternoon to everyone. I would like to start by providing an executive overview of our operational performance this quarter. Then Rich will review our consolidated financial results in greater detail, and turn the call back over to me for comments on the balance of the year and some concluding comments before opening the call to your questions. We are pleased with our operational performance in quarter one. On a currency-neutral basis, we delivered mid-single digit sales growth and double-digit increases in both adjusted operating profit and adjusted EPS. At the same time, we continue to invest in the business to support our strategic goals by bolstering our Flavors business with the acquisition of Ottens Flavors, the opening of the new sales and creative facility in Chicago, and the expansion of our creative center in South Africa. Currency neutral sales this quarter grew 6% on a consolidated basis, primarily driven by new win performance across both businesses. Currency neutral sales to the emerging markets, which now represent 51% of total company sales, grew 9%, twice of the rate of sales of the developed markets, which grew 4%. Adjusted operating profit grew 10% on a currency neutral basis to $163 million, and adjusted operating profit margin was 21%. This improvement was driven by strong sales growth, combined with manufacturing and RSA cost leverage. From a currency neutral adjusted EPS perspective, we also benefited from a lower adjusted effective tax rate, interest expense and shares outstanding. The net result drove a 13% improvement in adjusted EPS, on a currency neutral basis, to $1.45 per share in the quarter. In Fragrances, currency neutral sales grew 5% in quarter one, as most regions delivered mid to high and single-digit growth. In the emerging markets, our Fragrance Compounds business, which includes Consumer Fragrances and Fine Fragrances, grew 8% while the developed market grew by 4%. On a category basis, Consumer Fragrances continued to be our strongest performer, growing 9%, as Fabric Care and Home Care grew strong double-digits. EAME and Latin America both grew high single-digits, followed by mid single-digits in North America and Greater Asia. It should be noted that this marks the 14th consecutive quarter of Consumer Fragrances growth. Fine Fragrances currency neutral sales declined by 2% against a very strong 10% growth reported in the year-ago period. Our double-digit performance in Greater Asia was more than offset by softness in North America and EAME, both of which compared to a strong double-digit growth in the prior-year period. If you recall, our quarter one performance was our strongest of 2014, as it benefited from a customer pre-building inventory before implementing SAP. In Fragrance Ingredients, currency neutral sales declined 2%, as it compared to their strongest year-over-year comparison. From a profitability perspective, Fragrances segment profit decreased 6% to $82 million, and segment profit margin decreased 110 basis points to 20.5% as the unfavorable net impact of price to input cost and currency pressures more than offset productivity and cost control initiatives. Turning to Flavors. For 41 consecutive quarters, Flavors reported positive currency neutral sales growth, increasing 9% in the first quarter. While overall market performance was driven by double-digit growth in the emerging markets, the developed markets also posted gains, increasing 7% year-over-year. On a category basis, the strong trends we saw last quarter continued, as Beverages grew double-digits with broad-based growth across all regions. This strong performance was a result of our creative team's ability to provide innovative solutions that are satisfying consumer desires for healthier products. It also should be noted that all other regions within our Flavors business achieved solid growth, led by high single-digit increase in Dairy and mid single-digit increase in Sweet and Savory. From a regional perspective, Greater Asia posted 4% currency neutral sales growth, led by a double-digit improvement in Beverages and a high single-digit increase in Savory. Southeast Asia, India and Japan, all reported growth, while China continued to be soft. In EAME, currency neutral sales growth was strong, increasing 9%. Results were driven by strong double-digit growth in Beverage and high single-digit increase in Sweet, all a result of new win performance. In North America, conditions continue to improve relative to the middle of 2014, growing a robust 10% year-over-year in quarter one. This improvement can primarily be attributed to a strong double-digit growth in Dairy, Sweet and Beverage, all of which were a result of strong innovations and our recent investments to drive consumer intimacy in this key market. For the sixth consecutive quarter, Latin America grew double-digit, up 21% on a currency neutral basis. This performance continues to be driven by innovation, in particular our successful proprietary delivery system. From a profitability perspective, Flavors segment profit increased 5% to $93 million in quarter one. Segment profit margin improved 60 basis points to 24.6% from 24% in the prior year quarter, as top line growth, mix benefits, productivity and cost control initiatives more than offset currency pressure. Before turning the call over to Rich, I wanted to provide some commentary on our recent acquisition of Ottens Flavors. For those of you who have not heard of Ottens, they were a privately held company headquartered in Philadelphia, with approximately $60 million in annual sales and 170 employees. They are all well known for their diverse flavor technologies, strong talent base and long-term reputation for high-quality customer service. IFF and Ottens Flavors share rich histories, world-class and complementary R&D capabilities, and a strong commitment to innovative quality products, with a keen focus on the customer. The deal will strengthen our operations in North America, improving our market share in this key developed market and increase our ability to meet the needs of our customers, especially the faster-growing strategic accounts. The impact of this transaction is not included in our guidance for 2015. With that, I would like to now introduce Rich.
Richard A. O’Leary - Interim Chief Financial Officer: Thanks, Andreas. Good morning and good afternoon, everyone. Net sales in the first quarter were up 6% on a currency neutral basis, led by double-digit growth in Latin America and mid-single-digit growth in both EAME and Greater Asia. Overall, performance was driven by new wins across both businesses and lower volume erosion on existing business, mainly in our Flavors business. While currency neutral sales were strong, net sales on a reported basis rose 1%, reflecting a strengthening of the U.S. dollar versus most global currencies. Adjusted gross profit margin remained constant at 44.7%, as sales growth, cost savings initiative and mix benefits were offset by an unfavorable net impact of price to input costs and foreign exchange headwinds. Our adjusted operating profit grew $4 million, or 2%, to $163 million, and adjusted operating profit margin increased 40 basis points to 21%, driven by sales growth and expense leverage that more than offset currency headwinds. Adjusted diluted EPS grew 10% to $1.45, driven by improvements in adjusted operating profit, foreign exchange gains on working capital and other income, a lower adjusted effective tax rate and interest expense, as well as reduced shares outstanding. As I did on our Q4 earnings call, I wanted to show the two-year average currency neutral sales growth chart by quarter to highlight the underlying trend. As you can see, in Q1, currency neutral sales continued to grow at the upper end of our long-term guidance range, increasing 6% on a two-year average basis. Relative to the market, we believe we are outperforming, which is indicative of market share gains. We continue to benefit from our diverse portfolio of end use product categories with strong growth in Flavors and Consumer Fragrances, and in geographies with growth in three of four regions. Adjusted RSA expenses, as a percent of sales, declined 20 basis points from 24% to 23.8%. The year-over-year decline was driven by cost control initiatives, and a favorable impact from currency, which was partially offset by higher amortization and incentive compensation expense. Maintaining cost discipline and implementing process improvements remain a priority, and by doing so allows us to reinvest into R&D and commercial resources to drive longer term growth. In Q1, R&D as a percentage of sales remained within our 8% to 9% range, at 8.2% of sales. From a currency perspective, Q1 was challenging as the U.S. dollar strengthened against many global currencies. We have a natural hedge, given our considerable operations in Europe, along with pricing mechanism in most emerging markets. In addition, we proactively hedge our net euro exposure to raw material purchases. However, the recent volatility in exchange rates negatively impacted our results. In particular, the weakening of the euro versus the U.S. dollar, which represents our largest currency exposure, had the greatest impact. In addition, several other currencies, such as the Australian dollar, Brazilian real, British pound and Japanese yen, weakened versus the U.S. dollar, further pressuring Q1 results. We did experience a modest gain from our transactional euro hedging program. However, the benefits of this program are more back-half-weighted based on the phasing of the program this year. As a result, foreign exchange movements in Q1 had a five percentage point impact on top line compared to a seven percentage point impact on adjusted operating profit and three percentage point impact on adjusted EPS. For the full year 2015, we remain approximately 70% hedged on our euro exposure at a rate close to the full year average of 2014. And while this significantly reduces our exposure in 2015, based on the April rate of $1.08, we believe it will have approximately seven percentage point impact on sales and approximately four percentage points to five percentage points impact on operating profit. This impact is included in our full-year guidance, which Andreas will speak about momentarily. Our operating cash flow in the first quarter was $31 million, compared to $35 million in the prior-year period. Improvements in net income and inventory during the quarter, as well as lower incentive compensation payouts, were more than offset by a $50 million incremental pension contribution, which strengthened the funded status of our largest plans. Our core working capital levels continue to show improvement year-over-year as a percent of sales, as our five-quarter rolling average figures through the end of Q1 was down 70 basis points to approximately 29.1% of our trailing 12-month sales. From a capital structure standpoint, we expect to spend between 4% and 4.5% of sales in 2015 on growth and infrastructure initiatives, specifically our new plants in Turkey and Indonesia. After this year, we expect capital spending to begin to revert back to more normalized levels at 3% to 3.5% of sales for this foreseeable future. Regarding cash returned to shareholders in the first quarter, we've spent about approximately $38 million on dividend payouts and $11 million on share repurchases. With that, I'll now turn the call back to Andreas.
Andreas Fibig - Chairman & Chief Executive Officer: Thank you, Rich. Looking to the balance of the year, we continue to believe we can deliver attractive returns to our shareholders. On a currency neutral basis, we expect all of our key financial metrics, sales, adjusted operating profit and adjusted EPS to be in line with our long-term targets. Yet, if global currencies remain where they were in April for the balance of the year, we expect adjusted operating profit and adjusted EPS to grow low to mid single-digits, including the impact of currency as well initiating investments in R&D and commercial resources based on our new strategy to drive long-term growth, which will be communicated in June. For second quarter of 2015, we expect currency neutral sales trends in Flavors to continue, albeit at a level more in line with our long-term target range. In Fragrances, we expect momentum to improve in our Fine business and continue to see good growth in Consumer Fragrances. And while we expect to see improved volume trends in Ingredients over the course of the year, we still expect year-over-year declines in the second quarter. From a profitability perspective, we expect currency to remain a significant headwind in quarter two, which will pressure our reported results. In summary, we have started the year well, as we have achieved all our key financial objectives on a currency neutral basis, while simultaneously investing for the future growth of our business. In addition, with the acquisition of Ottens Flavors, the new site in Chicago and the renovation of South Africa, we continue to reinvest in R&D and commercial initiatives to build competitive advantage longer term. Diversity is not only a strength of IFF, it is a source of our stability. It begins in the way we operate, what we offer and where, and extends to consumers around the world who have made our customers' products part of their everyday lives. This unique profile provides us with the confidence that we should be able to deliver financial results in line with our long-term targets on a currency neutral basis. Before I open it up to questions, I want to take a moment to explain how excited I am about the opportunity to unveil and discuss our refreshed strategy with you on June 2 at our Investor Day here in New York City. It will be a great chance for us to share our 2020 aspirations and speak to the opportunities where we can further differentiate ourselves from the competition and provide innovative solutions for our customers to win in the marketplace. For those interested in attending, I ask that you reach out to Michael to register for the event. My hope is that you will not only have a chance to hear Vision 2020, but also provide you with an opportunity to experience some of our excellent R&D capabilities. With that, we are happy to take your questions.
Operator: And your first question comes from the line of Mark Astrachan with Stifel Nicolaus.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc.: I wanted to ask about the FX impact to your expectations for the year. So the last time you had talked publicly about numbers, it was mid-to-late March, and now current FX rates are what they are, which is to say actually slightly improved relative to then. So could you talk a bit about sort of the dynamics at play between then and now to the impact that seems to be more significant than previously expected, and specifically talk to anything underlying that within the actual operating results in the business getting worse that would contribute to that?
Andreas Fibig - Chairman & Chief Executive Officer: Rich?
Richard A. O’Leary - Interim Chief Financial Officer: Sure. Yeah, Mark, when we talked in March, at that point in time we were probably in a $1.10, $1.12 range – $1.12 or $1.15 range based on the forecast at that point in time. As we indicated in the call, the current outlook is based on a euro rate, based on the April forecast and the April period in time which is about $1.08. So there is a bit of a strengthening. As you said, since the beginning of May, the euro has recovered a bit. That has not been reflected yet in our outlook, in the guidance that we just gave. The underlying fundamentals have not changed significantly in terms of where we are across the business. There can be some mixed impacts country by country. Also, the phasing of the – as I mentioned in the call, the phasing of the hedging contracts are more back-end weighted, and so that's why you're going to see more pressure in the first quarter and the second quarter.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc.: Got it. Okay. And switching to specific geographies, what's causing the weakness in recent quarters in China and what are your thoughts on when and how it can look as we go through this year? Could it improve or what's sort of the impact there?
Andreas Fibig - Chairman & Chief Executive Officer: Yes. Mark, I'll give this to Matthias.
Matthias Haeni - Group President-Flavors: Thank you, Mark. Well, in China, in line with what we hear from our own customers, we are positively optimistic. We see particularly larger accounts being softer in the overall performance. We see, however, also greater opportunities with smaller sized companies. As you know, we have expanded our footprint in China. We are now closer to smaller sized companies as well, and we are positively optimistic for the remainder of the year.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc.: Okay. So maybe just broadly on China then, cautiously optimistic, what is the base that you're coming from? I guess, without a comment specifically on a country if you don't want to, it seems to me at least that sales may have declined in recent quarters. Is that a fair assumption? And then as you say cautiously optimistic, does that mean for a slight positive growth?
Matthias Haeni - Group President-Flavors: Yes, for a slight positive growth, Mark. In China, we did not experience quarter-over-quarter declines, with the exception of what we had in Q1, but it was a very modest decline. We also had some discontinued business, which we have started in Q4 last year as we had some business which cost (22:36) very profitable, but we are not going to report it separately. Overall, again, we remain positive. We have some challenges, and I think we are in line with probably what you will hear from our customers across the categories as well.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc.: Okay. Thank you.
Nicolas Mirzayantz - Group President-Fragrances: Hi, Mark. It's Nicolas. Regarding Fragrances, very solid performance in Q1 for China, and we remain also cautiously optimistic for the remainder of the year, with good performance with global – regional and global accounts.
Andreas Fibig - Chairman & Chief Executive Officer: Okay?
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc.: Yep. Great. Thank you, guys.
Nicolas Mirzayantz - Group President-Fragrances: You're welcome.
Operator: Your next question comes from Lauren Lieberman with Barclays.
Lauren Rae Lieberman - Barclays Capital, Inc.: Thanks. Good morning.
Andreas Fibig - Chairman & Chief Executive Officer: Good morning, Lauren.
Matthias Haeni - Group President-Flavors: Good morning, Lauren.
Lauren Rae Lieberman - Barclays Capital, Inc.: First, I just wanted to know, in the Q, I noticed there was a mention of extra selling days in the quarter. So did that have any kind of financial impact on the local currency sales growth reported?
Richard A. O’Leary - Interim Chief Financial Officer: Yeah, Lauren. It had, I'll call it, a modest impact. The estimate is probably about a point impact in growth on the quarter.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. And then if I hear correctly that the Ottens Flavors is not included in the outlook right now?
Richard A. O’Leary - Interim Chief Financial Officer: Correct. It's not in the outlook.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. So 4% to 6% top line is ex Ottens?
Richard A. O’Leary - Interim Chief Financial Officer: Ex Ottens.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. And then Latin America on Beverages, I know you had broad-based strength everywhere in Beverages, but that was the one market where you mentioned proprietary delivery systems. So I was just wondering if some of the wins you've had in Latin America, if that's reflected globally yet with those proprietary systems or if that's still isolated to Latin America, and should we think about that materializing this year if it's something that would come further out?
Andreas Fibig - Chairman & Chief Executive Officer: Matthias?
Matthias Haeni - Group President-Flavors: Thank you, Lauren. Well, in Latin America, it was one of the first regions where we deployed our new technology. That's why also we had a much stronger growth performance versus other regions. We are seeing good traction in other regions as well. In Latin America, it's mainly for Beverages, but the technology as such is also very impactful when it comes to other categories such as gums, for example, where customers constantly are looking for differentiation, but also in Savory. We are very positive that we will see a good traction going forward also in other regions, though I have to say, even the last few quarters, the impact of new wins through this technology is material.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. And just in that Latin America business in particular, was there any kind of pipeline fill, like that up 21% -- would you expect that moderates from here, that there was just some initial stocking on that (25:48).
Matthias Haeni - Group President-Flavors: I think it will moderate, but it's not a pipeline filling; it's just a lot of new wins which we had. Unfortunately, I'm not expecting the very same growth dynamics of 20% for the quarters to come. But frankly, while still early in the quarter, we also expect a very solid momentum in Q2 going forward in Latin America.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. And just one last thing, if I may, on the guidance. Where I'm a little bit confused on including FX is that at least my recollection is that previous guidance was for 7% to 9% operating profit growth, emphasizing the low end of the range, but that included a 4% headwind from currency. So you said it was only 4% to 5% from currency, so it's one point worse, but I don't know why low single digits would be on the table for EBIT growth unless there's something I'm missing.
Richard A. O’Leary - Interim Chief Financial Officer: Yeah. Lauren; you're right. I mean it's probably somewhere between a point – it's probably 1.5 point additional currency headwind based on the current outlook. As Andreas already talked about, reflected the outlook is initiating some of the investments that we've identified to drive long-term growth associated with the strategy. That's now been incorporated into the forecast that was not in the outlook at the beginning of the year as the work had not been identified yet. And I think the other part of it is that we're being, I'm going to say, cautious about some of the pressures that we're seeing in terms of price and input costs, particularly on the Fragrance business, as well as Fragrance Ingredients top line and a little bit of pressure on Fine Fragrances. And so there's a mix impact there also.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. All right. Thank you.
Operator: Your next question comes from the line of Jeff Zekauskas with JPMorgan.
Silke Kueck - JPMorgan Securities LLC: Good morning. It's Silke Kueck for Jeff. How are you?
Andreas Fibig - Chairman & Chief Executive Officer: Good. Good morning.
Richard A. O’Leary - Interim Chief Financial Officer: Good morning, Silke.
Silke Kueck - JPMorgan Securities LLC: So the Ottens acquisition closed in May. And as the average operating margin is similar to what IFF reports, like it should contribute like a $0.05 to your earnings this year. Is that the way you see it?
Richard A. O’Leary - Interim Chief Financial Officer: No. Silke, you also have to remember that we have to look at it on our basis and, basically, the purchase accounting related to the price we paid for it. So there's step-up in the assets and then there's amortization related to that. So I think the impact – we believe that the impact – we still have to finish that assessment -- but we think the impact from an operating profit standpoint will be a modest impact.
Silke Kueck - JPMorgan Securities LLC: A modest impact. Okay. In terms of the negative price raw material issue, is the issue that the raw material cost curve is sort of flattish and your prices are down? Like I'd be surprised if your raw materials are up.
Richard A. O’Leary - Interim Chief Financial Officer: As we talked about on the last call, where we're seeing the greatest amount of pressure is on the naturals in both businesses and then there's things like patchouli. But the biggest part of our portfolio are the natural ingredients. And that's where we're seeing upward price pressure, particularly in the Fragrance business, and that's more than offsetting any potential benefit we see down the road from oil-related derivatives.
Silke Kueck - JPMorgan Securities LLC: Okay. Are your pricing trends generally flattish?
Richard A. O’Leary - Interim Chief Financial Officer: There's some pressure on the Ingredients business, on the commodity end of the business. So it was not significant, but was down slightly in the quarter.
Silke Kueck - JPMorgan Securities LLC: Okay. And I guess I have two last questions. So do you expect the Fine Fragrance business to be up year-over-year on a neutral currency base for 2015? And secondly, I was wondering whether – what your share repurchase goals are for the year. Thank you very much.
Andreas Fibig - Chairman & Chief Executive Officer: Nicolas?
Nicolas Mirzayantz - Group President-Fragrances: Hi, Silke. It's Nicolas. As you remember in Q1 last year, we came out at a very, very strong Q1 performance of 10%, and it was our very strong year-ago performance, especially in Europe of 19% and 29% in North America. So, Q1 faces a tough comparison. Moving forward, we expect momentum to improve in our Fine business.
Silke Kueck - JPMorgan Securities LLC: Okay.
Michael DeVeau - Vice President-Global Corporate Communications & Investor Relations: Silke, I think there was one more question you had.
Silke Kueck - JPMorgan Securities LLC: Yes. And I was wondering whether you – what your share repurchase goals were for the year?
Richard A. O’Leary - Interim Chief Financial Officer: We repurchased – as I said, we repurchased about $11 million in the first quarter. Our authorization at this point is based on a share price value matrix. And so for the time being, I would expect that that rate would continue given the current price levels or we expect that to continue certainly into the second quarter. We do our annual capital structure review with the board mid-year. But at this point, I would count on a similar rate than what we saw in the first quarter.
Silke Kueck - JPMorgan Securities LLC: Thank you very much. I'll get back into queue.
Operator: And your next question comes from Faiza Alwy with Deutsche Bank.
Faiza Alwy - Deutsche Bank Securities, Inc.: Yes. Hi. Thank you. Good morning. So I wanted to ask about Fragrance margins. So I think there might be two dynamics at play, one is sort of the weaker Fine Fragrance performance, and then some of it might be ingredients. So I was wondering if there is a way to quantify how much was the impact from both of those factors, and then if there's anything else at play? And then how we should view Fragrance margins sort of going forward through the rest of the year?
Richard A. O’Leary - Interim Chief Financial Officer: I think, Faiza to your point, I think the year-over-year performance for Fragrance is there's certainly an impact on the Fine Fragrance side from a mix standpoint. We had very, very strong growth in the year-ago quarter versus negative growth in the current quarter. So that's – I'd say that's probably the biggest impact of it. Second is, as I mentioned earlier, there is pricing input cost pressures which had a negative impact in the quarter. Those are probably the two biggest drivers of year-over-year margins.
Faiza Alwy - Deutsche Bank Securities, Inc.: Okay. So as Fine Fragrance performance improved through the rest of the year, we should see margins improve also?
Richard A. O’Leary - Interim Chief Financial Officer: Yeah. I think you also have different comparables in the second – for the balance of the year last year, some of that will spin to offset each other going forward.
Faiza Alwy - Deutsche Bank Securities, Inc.: Okay. And then...
Richard A. O’Leary - Interim Chief Financial Officer: (33:06)
Faiza Alwy - Deutsche Bank Securities, Inc.: Okay, great. And then, I just wanted to ask a little bit more about the increased investments that you mentioned in R&D. So should we expect the R&D ratio to be above the 9% range for the year or if you could just expand a little bit more on that?
Andreas Fibig - Chairman & Chief Executive Officer: No. Faiza, this is Andreas speaking. No, we – you should not expect that because it's early days of our, let's say, implementing some of the steps for our refreshed strategy and it will certainly not go above 9%, that's very clear. But we do a couple of strategic hires for the programs we have selected and that's what we will present second of June to you, but it's not that this is crazy for the rest of the year.
Faiza Alwy - Deutsche Bank Securities, Inc.: Okay.
Richard A. O’Leary - Interim Chief Financial Officer: And part of it also, Faiza, is on the commercial side also. It's both commercial and R&D resources.
Faiza Alwy - Deutsche Bank Securities, Inc.: Okay. And then just one last question, if you could just talk about currency impact for 2016, I know you told us before how much you were hedged and at what rate for 2016. So, I wonder if there's an update on that.
Richard A. O’Leary - Interim Chief Financial Officer: At this point, where we are – our hedge program has obviously extended forward from where we talked about earlier in the year. Right now, we're about 40% hedged for all of 2016 at a rate a little bit above $1.10.
Andreas Fibig - Chairman & Chief Executive Officer: And, Faiza, it's so volatile at the moment, the whole market that I think it would be a bit early to talk already about 2016. But let's talk about it when we are later in the year and we know a bit more when particularly the euro will develop.
Faiza Alwy - Deutsche Bank Securities, Inc.: Okay, great. Thank you.
Operator: And your next question comes from Jonathan Feeney with Athlos Research.
Jonathan P. Feeney - Athlos Research: Good morning, guys. Thanks very much. My one question is you called out some strength in the Beverages business. And it's – I guess I know there's some new technology at play, but I kind of wanted to parse how much was that and how much was maybe other technology or innovation versus sort of the base business in your global Beverages business within Flavors? Thanks.
Matthias Haeni - Group President-Flavors: Good morning. This is Matthias speaking. Well, I cannot give you an exact rate, but I can tell you that majority of new wins are the results of health and wellness solutions. We have fantastic proprietary tools, which help taste – calories-reduced beverages taste better and we constantly make progress. It's not like we have few molecules and we only deploy them and we rely on the success of few of them. Over the last few months and quarters, the teams have made significant progress to come up with additional new solutions. And frankly, we feel really excited. So, first of all, the opportunities which we have; second also on the success rate; and third, on partnering much closer with our customers together.
Jonathan P. Feeney - Athlos Research: Got you. Thanks very much.
Matthias Haeni - Group President-Flavors: You're welcome.
Operator: And your next question comes from John Roberts of UBS.
John E. Roberts - UBS Securities LLC: Good morning.
Andreas Fibig - Chairman & Chief Executive Officer: Good morning.
Richard A. O’Leary - Interim Chief Financial Officer: Good morning.
John E. Roberts - UBS Securities LLC: The decline in the North American Ingredients business, is that sales out of the U.S. or sales into the U.S. that declined? I should know that, but it's a simple question. And how much of the decline is, you're using more ingredients internally, or is the decline really all external market?
Nicolas Mirzayantz - Group President-Fragrances: Hi, John. It's Nicolas. It's purely external sales and here it's very much targeted towards one specific segment of the market. So, we had some visibility into it and what we decided is not to participate in some lower margin business. And as you know, we have been rationalizing both our portfolio and our footprint in Ingredients, especially in North America. You remember that we had closed our manufacturing unit of August last year because we knew that we will be facing some pressure. So, it was a decision for us not to participate in some specific contracts.
Richard A. O’Leary - Interim Chief Financial Officer: And, John, from a definitional standpoint, it's sales in the U.S. market, not exports from the U.S. market.
John E. Roberts - UBS Securities LLC: Okay. And I thought we were largely through that, so we'll have this comp issue now for another three quarters, sort of?
Andreas Fibig - Chairman & Chief Executive Officer: For the year, you will see some pressure in North America for Ingredients and then that will be a new base for the future.
John E. Roberts - UBS Securities LLC: Okay. Thank you.
Operator: And you have a follow-up question from Mark Astrachan with Stifel Nicolaus.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc.: Yeah. Thanks, again. Which quarter will be impacted by the extra selling days this year to offset the first quarter benefit?
Richard A. O’Leary - Interim Chief Financial Officer: Fourth quarter, Mark.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc.: Okay. So, it's similar expected impact, roughly 1%?
Richard A. O’Leary - Interim Chief Financial Officer: Yeah. I think, yes. I mean, that's the best way to think about it.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc.: Okay. And then Andreas, not to steal your thunder from the strategic refresh event in a month, but I guess you just need to think about FX being incrementally worse than where you were when you joined the company and then now to use incremental investments as it relates to refresh. Should we be thinking that there will be some offsets to come in terms of efficiency programs and like to basically be able to redeploy some of that?
Andreas Fibig - Chairman & Chief Executive Officer: Mark, good question. We certainly look what can we do to fund the journey internally so that we reallocate some of our resources towards our new programs. And that's what we are doing. Secondly, we certainly look at, let's say, our footprint. And we already have, I would say, a pretty good natural hedge, but we have to look into it whether we can do some of these programs in areas where we have at the moment a euro exposure, like in Europe. And as you well know, we have around about one-third of our employee base in Europe anyway. So that's certainly in the cards to look into it, how we do it in the most efficient and effective way for us. So these are the things we are looking into.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc.: Okay. Thank you.
Operator: Okay. The last question comes from the line of Curt Siegmeyer with KeyBanc Capital.
Curt A. Siegmeyer - KeyBanc Capital Markets, Inc.: Morning.
Richard A. O’Leary - Interim Chief Financial Officer: Good morning.
Andreas Fibig - Chairman & Chief Executive Officer: Good morning.
Curt A. Siegmeyer - KeyBanc Capital Markets, Inc.: Hey, just a couple more on the Fragrance side. You mentioned – I thought that you do expect a little bit of improvement on the Fine Fragrances piece of the business. Is there anything, I guess, a little bit more tangible or is it just more a function of easier comps as we move through the year?
Nicolas Mirzayantz - Group President-Fragrances: I think it was easier comp. I mean, if you look at the growth of 10% last year in Q1, you know very well that the market did not grow 10%. And that growth really was primarily driven by new wins, but also by a customer pre-building inventory before the implementation of SAP, something that reversed itself over the course of 2014. So factoring that comparison and looking at the business over a two-year period, performance in Q1 2015 actually accelerated on a two-year average. As such, we will expect our performance to return to growth going forward.
Curt A. Siegmeyer - KeyBanc Capital Markets, Inc.: Okay. And then just maybe one more on the margin for the segment as a whole. Are there any other levers you guys can pull? Or if you don't see any raw material relief, if it kind of stays at these levels, should we anticipate margins down year-over-year over the course of 2015? Or you mentioned productivity in sort of other maybe areas where there might be pricing opportunity, I guess. Is there any other levers you guys can pull there to offset some of the raw material pressure?
Richard A. O’Leary - Interim Chief Financial Officer: Yeah. Curt, I mean, I think there's – we're always looking at – I mean, I think the levers that we can pull are looking at the spend and trying to be focused in terms of where that spend occurs and make sure it's focused on driving the business, whether it's on the R&D innovation side or in the commercial side to drive and accelerate the growth. From a productivity standpoint, we look at opportunities day-to-day in our manufacturing operations, whether it's the capital investments or process improvement, to try to gain some leverage and that's inherent in our model. And so I think those efforts will continue. We may have some pressure near term when you combine currency and in some of these new investments. But long term I think the model still works.
Curt A. Siegmeyer - KeyBanc Capital Markets, Inc.: So you think then for the year, is it going to be tough to offset sort of the hole that we're in after the first quarter in terms of keeping that margin flat year-over-year. Would that be too difficult to get back to?
Richard A. O’Leary - Interim Chief Financial Officer: Well, we're flat year-over-year as it is in the first quarter. So I think we've always said, look, we're not going to expect to have kind of margin expansion that we had in prior years, that's not possible. I think we're going to be challenged by some of the mix impacts on the Fragrance business, but I think there are some opportunities that we'll look at, but there is some challenges from a timing standpoint.
Curt A. Siegmeyer - KeyBanc Capital Markets, Inc.: Got it. Great. Thanks.
Operator: This does conclude. I will now turn the call back to the speakers.
Andreas Fibig - Chairman & Chief Executive Officer: Okay then, let me conclude the call. So we are pretty pleased with our first quarter performance, very robust in terms of 6%, which is certainly outperforming the market, which we expect 3% growth. We have given you our outlook for the rest of the year, so we expect that in currency-neutral terms, we will stick to our guidance. And we certainly have an opportunity, 2nd of June to update you on our, let's say, five-year strategy for 2020. Thank you very much for participating. And I hope I see many of you in New York here on 2nd of June. Thank you and good-bye.